Operator: Good day and welcome to the PBF Logistics Third Quarter 2015 Earnings Conference Call and Webcast. [Operator Instructions] Please note this call is being recorded. It is now my pleasure to turn the floor over to Colin Murray, Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Keith. Good morning and welcome to PBF Logistics' third quarter 2015 earnings conference call. With me today are Tom Nimbley, our CEO; Erik Young, our CFO and several other members of the partnerships' senior management team. If you have not received the earnings release and would like a copy, you can find one on our website. Before we begin, I’d like to direct your attention to the forward-looking statement disclaimer contained in today's press release. In summary, it outlines that statements in the press release and on this conference call that state the Partnership's or Management's expectations or predictions of the future are forward-looking statements, intended to be covered by the safe harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we've described in our filings with the SEC. Now, I will turn the call over to Tom Nimbley.
Tom Nimbley: Thank you, Colin. Good morning, everyone and thank you for joining us on today's call. As Erik will cover in more detail shortly, our third quarter results were strong. Revenues for the partnership have grown by more than 150% from a year ago. Earlier today, we announced an increase in our quarterly distribution to $0.39 per unit per quarter or a 5.5% increase versus Q2 2015. This represents an annual compound growth rate of approximately 23% since our IPO. We are pleased with how our assets operated during the third quarter. Many of our assets either met or exceeded their minimum volume commitments. Of note, the Toledo Truck Rack throughput was 18,900 barrels per day, more than three times the MVC of 5,500 barrels for the day, which reflect high utilization at PBS Energy Toledo Refinery. The Delaware City Truck Rack's throughput of 33,300 barrels per day and the Delaware City Pipeline throughput of approximately 38,800 barrels per day were below MVC, due to reduced throughout at the Delaware City Refinery as a result of an unplanned downtime. Throughout at the Delaware City Rail facilities continues to run below MVC as a result of lower domestic crude utilization, primarily at the Delaware City Refinery. We appreciate that our sponsor PBF Energy must make economic decisions regarding its crude slate and that the current environment is not supportive of delivering crude by rail. We envisioned varying levels of utilization when we established the original contract framework. The agreements restructured to guarantee the revenue of PBF Logistics, while preserving PBF’s Energy crude sourcing flexibility. In the current low volume environment, PBF Logistics has generated incremental EBITDA as a result of reduced operating expenses. While the MLP market has faced some challenges over the last few quarters, we see this time as a time of opportunity. We are continuously evaluating credential transactions that would grow and diversify the partnership and ultimately increase our distributions. Additionally, within the last five months PBF has announced that it intends to purchase two additional refineries, which both have significant associated logistics assets. With these two transactions, PBF has grown its backlog of MLP qualifying EBITDA by approximately 40%. We will continue to focus on the safe, reliable, and environmentally responsible operation of our assets and pursue opportunities to grow our business. With that I would like to turn the call over to our CFO, Erik Young.
Erik Young: Thank you, Tom. This morning, we reported third quarter net income to the Partnership of $20.3 million or $0.59 per common limited partner unit. We generated EBITDA of $29.1 million, which represents more than a 175% increase to the third quarter of 2014. In addition, we had $22.2 million of cash available for distribution and a coverage ratio of 1.6 times in excess of the previous guidance of 1.15 times. This improvement was primarily driven by reduced operating expenses and maintenance CapEx. Total revenue was $37.1 million. Total operating costs were $9.6 million, including operating expenses, G&A, and Depreciation and Amortization. Cash interest expense was approximately $6.8 million. The increase in interest expense is driven by the $350 million of senior notes we issued in the second quarter. We ended the quarter with $18.2 million of cash, approximately $300 million of available liquidity and $356 million of net debt, which resulted in the net debt to EBITDA ratio of approximately 3.1 times on an annualized basis. We are pleased that the board of directors of our general partner approved a quarterly distribution increase of $0.02 to $0.039 per unit, which will be paid on November 30 to unit holders of record as of November 13. This represents our fourth consecutive quarterly distribution increase. In the short time frame since our IPO, we have established a solid financial position with a permanent capital structure and have demonstrated our commitment to growth by increasing the PBF logistics EBITDA by approximately 180% on an annualized basis. We look forward to executing our growth strategy through a combination of drop downs from PBF Energy, organic projects, and third party acquisitions. Operator, we’ve concluded our opening remarks and now we’ll open the call for questions.
Operator: [Operator Instructions] And we can take our first question from Theresa Chen with Barclays. Please go ahead.
Theresa Chen: Good morning. Tom, following up on your comments on wanting to diversify the asset base here and continuing to grow, just given the persistent market headwinds across the sector, do you have an idea of what kind of timeline you see for future drop downs?
Tom Nimbley: Actually, we see tremendous opportunities and granted there have been some headwinds as you politely put it. We continue to be committed to the CAGR that we’ve got in this business. We will in fact be pursuing a dropdown probably in the not too far distant future and then we will probably wait until we get the Chalmette acquisition behind us, which by the way will happen eminently because as Eric alluded to and in diversifying the base, we have significant high-quality MLP assets $30 million backlog EBITDA at Chalmette and $50 million in Torrance. So, we may do something here in the next quarter or two before we exercise those assets and then we will probably shift to those assets.
Erik Young: Theresa, it’s Erik, what I would say to it is, I think we are still very comfortable with kind of the four year to five year distribution growth CAGR that we’ve laid out for folks at 15%.
Theresa Chen: Understood. So in relation to the more near-term drop down then, if the market remains where it is, can you provide us an update of your funding options? What's your preferences there? And then any flexibility on valuation from the parent?
Erik Young: I think overall, we’ve got ample liquidity within the balance sheet today. We have over $300 million available under our current revolver. We have a shelf offering that is completely effective at this point. We think there are multiple avenues to be able to complete any type of transaction. We’ve also demonstrated in the past that the sponsor of PBF Energy is also willing to participate. So, while we see the same stress in the market that we think everyone else sees, we also feel like we have really protected investors’ downside with PBF Logistics, there really is only upside from here and we think we’ve demonstrated growth thus far and that ultimately we will be successful in continuing to grow the business.
Theresa Chen: And do you think that we’ll see a similar kind of multiple to previous dropdowns?
Erik Young: I think we understand the math around acquisition financing and ultimately if you have to issue equity at a lower price or a higher yield that ultimately purchase multiples we would expect to come down. We’ve seen a bit of that with third party acquisitions that have occurred, another potential acquisition that we’ve evaluated and we’ll just have to see how the market evolves but I think we definitely understand the math behind it.
Theresa Chen: Great. And then turning to the rail facilities, Tom, related to your comments about when you originally put the contracts in place envisioned to various levels of utilization for the assets. And I understand that renegotiation period is until several years from now but do you have any preliminary thoughts on how those various levels of utilization have changed and from where you sit today do you think the contract terms would change once the renegotiation comes up?
Tom Nimbley: Let me take the first part of your question. As Erik said, obviously the parent is guaranteeing these volumes and we are happy to do that. In our view, we think we’re going to be moving somewhere around 55,000 barrels a day here in the short term over the two racks [indiscernible] heavy Canadian crude and there is Bakken. Our view is that there will probably be a quicker recovery on the heavy Canadian crudes. You can see that those crudes are trading $14, $15 under TI starting to widen out some after you get this pipeline fill out is going to be starting up behind us. We see brand TI moving out to somewhere around $4.50 or $5.00 that comes as an economic movement of the Canadian crude and we are pretty confident we’re going to be getting closer back to the MVC on the heavy rail side. On the Bakken side, it may be more difficult to get back up to the 85,000 barrels a day level. In the short term, all depends obviously on production but there are cuts being made in the Bakken and the industry is very resilient. They figure out a way to move the barrels around and process the barrels. As regards to contract, I don’t know of any plans that we have right now. For any discussions, Erik would you comment on it?
Erik Young: I think at this point, we still got 5.5, 6 years on the two rail contracts Tom outlined. The parent company is there to stand behind the MVCs and there will be times were volumes are up and times were volumes are down, but I think at this point we want to maintain the parent company has seen significant profitability as a result of having access to these assets and ultimately for PBF Energy flexibility is key when sourcing crude.
Theresa Chen: Understood. And then finally turning to the strengths in the Toledo truck terminal, this has been running at much higher than MVC for couple of quarters now and we spoke about this last quarter as well but I was just wondering if you have an update of what do you think is an appropriate run rate for us to model for the rest of the year in 2016?
Tom Nimbley: I am not sure we’re going to be able to sustain 90,000 barrels a day which is what we had in the third quarter but we would expect it to be in the 50,000 barrels a day range. The reality is partly due to heavy oil upgraders in the region deteriorated and widening mainly deteriorate, there has been some local sweet crudes, light sweet crudes have been kicked out and we have been able to source them at good numbers. It is a very important piece of our crude optionality at Toledo. I don’t think this level will sustain but it will be a very attractive number relative to the MVC.
Theresa Chen: Thank you very much.
Operator: [Operator Instructions] We can go next to Bhavesh Lodaya with Credit Suisse. Please go ahead.
Bhavesh Lodaya: Good morning guys.
Tom Nimbley: Good morning.
Erik Young: Good morning.
Bhavesh Lodaya: Appreciate your views on the Canadian and the Bakken crude. Just to dig deeper on this topic, if the east coast refineries do find a sustainable alternative to the Bakken feedstock longer term, how do you feel about the entire recontracting post that seven year contracts?
Erik Young: Bhavesh, could you just repeat the last part of the question?
Bhavesh Lodaya: Once those rail contracts expire at the end of seven years, how do you think about recontracting if there is sufficient feedstock available without using the Bakken crude?
Tom Nimbley: Okay. I would make a couple of comments on your question. First of all, you need to understand again we’ve made this point, PBF is unique [indiscernible] relative to the refining, so the parent relative to the refining capacity that exists in this region. The only alternative to a Bakken or a light sweet crude that was railed in for our competitors is effectively going to be a waterborne light sweet crude and that’s simply because the refineries are not configured to run anything with any amount of software in it. So the question is how do you get an economic alternative if there is no Bakken and what that means. With our system of course we do have the ability to run and source any other crude, so we will run more medium towers and heavy towers. As regard what happens, when that occurs or if it occurs I have no idea frankly what the economics are going to look like next year, never mind seven years. And I will tell you PBF is very happy to continue to have the option of bringing in crudes and we’ll look for other opportunities to use these facilities to the benefit of the parent.
Erik Young: I also think it’s important to note neither PBF nor PBF Logistics six years ago was in a position that we are in today. In fact neither company really had any assets, PBF Logistics didn’t even exist at the time. For us five, six years is a long timeframe out in the frontend and if we are talking about distribution growth rate of 15%, we’ve got another $280 million of potential EBITDA that sits at the parent company that can be dropped down, suddenly rail becomes a very small portion of overall EBITDA and distributable cash flow. And that excludes any potential acquisitions that the parent company does from here through the next five to seven years as well as any third party transactions that PBF Logistics could do during that timeframe. So I think from our perspective it’s a bit premature to be really commenting on what’s going to happen five or seven years from now.
Bhavesh Lodaya: Okay, appreciate the color. And then if I remember correctly and correct me if I’m wrong like on January 01 every year the fees have an annual escalator or may be an inflation adjuster for the Delaware City rail terminal. So do those fees move both ways up and down or is it just for the inflation?
Erik Young: No, they move both ways. It’s basically a PPI related escalator, de-escalator but it would never go below the original minimum volume commitment fees.
Bhavesh Lodaya: Okay, perfect. And so finally coming back to the dropdown inventory, I remember last time I think it was mentioned that inventory stranded around $200 million EBITDA and over the PBF call it was mentioned that Torrent adds $50 million as you mentioned to a total of $280 million. So just wondering did the base increase by $30 million?
Erik Young: The Chalmette is the acquisition that will close this weekend and that asset has about $30 million worth of logistics related EBITDA.
Bhavesh Lodaya: Fair enough, okay. I assume Chalmette is part of the $200 million, fair enough. Thanks for the color. Thanks.
Erik Young: Thank you.
Operator: [Operator Instructions] And it does appear we have no further questions. I’ll return the call to Mr. Tom Nimbley for any closing comments.
Tom Nimbley: I have no closing comments other than to say thank you for your time and attention, and have a great day.